Stig Christiansen: Good morning, everyone, and welcome to the Q1 2021 presentation of Prosafe, our financial results and also the business update. My name is Stig Christiansen, and I'm the CFO in Prosafe. Please, if you'd flip to the next page, the disclaimer. And you can review the disclaimer while I give a short introduction. And then I will soon pass the word to our CEO, Jesper Kragh Andresen, who will be doing most of today's presentation. However, first, allow me to just take you briefly through today's agenda. And thereafter, I will also give you a short update on the financial restructuring process that is ongoing. Let me also remind you that at the end, we are, of course, happy to take any questions. [Operator Instructions] So if we then turn to Page #3, just to remind you of the agenda. We'll give you an update on the financial restructuring process, highlights in the quarter, financial results specifically, obviously. And then our CEO will give you a rundown on the commercial update and sum the whole thing up before we open the floor for any questions. So against that, if we turn to the next page, Page 4, update on financial restructuring process. I think it's -- we can say with confidence that we are making very good progress with the restructuring process with all our lenders. It has taken a good while, but that's only natural. Please be reminded that our aim has been and remains to reach a consensual solution, a consensual, ideally out-of-court, solution with all our secured bank lenders. We are making good progress. And I think it's also important to remind you that, as stated consistently for quite some time, although it's too early yet to go into all the details of such a solution, it will include a significant reduction of debt, through equitization, and leave only marginal recovery to existing shareholders. We anticipate to be able to agree a term sheet with our lenders imminently, such that we can see the formal credit approval processes commence with all lenders, which will be the next natural step in order to take us towards a final solution. We will, of course, revert to the market as soon as we have full confirmation and then also reveal all the details of what we have been working on for the last 15 months with our banks. Hopefully, we will be able to do that within the next 2 to 4 weeks. That's certainly our ambition. And we hope to be able to deliver on that. So we remain optimistic and hope that we can revert and confirm relatively soon. So against that, I will pass the word to our CEO, Jesper Kragh Andresen, who will then take you through the business, starting with the highlights on Slide #6. Jesper?
Stig Christiansen: Yes. Thanks, Stig. Yes, turning to Page 6. I will quickly go through the highlights and then pass the ball back to Stig and respect -- expect to receive it back from Stig when the financial section has been voiced over. As Stig mentioned, we expect and hope that we will be able to reveal the details of the restructuring in the next 2 to 4 weeks, when all our sufficient majority of our bank lenders have signed up to the solution and improved it internally. In the meantime, we naturally remain keenly focused on ensuring equal and fair treatment of all stakeholders and, with the required support, continue to create value to the benefit of all stakeholders. The second bullet on the page refers to the Westcon court case, which we lost. I will come a bit back to that, but that was, as we have informed previously, both disappointing and surprising. The financials for the first quarter reflect that we are in the low season of the year, fleet utilization of 25%, about minus $10 million EBITDA and minus $7 million in cash flow from operations. As mentioned, it's reflective of the key focus in the quarter, which has been ramping up and preparing rigs for operation. We have 3 rigs in the North Sea, which were made ready in the first quarter and which are now in operation. And that will naturally be evident when we publish the EBITDA for the second quarter. As you can see from the bottom part of Page 6, there is good activity currently. And we have, in the first quarter, completed no less than 3 SPSs, [ they're ] the 5-year Special Periodical Survey, in line with budgets and on time. And finally, to mention the sizable liquidity reserve of $141 million. And then I'd pass the ball back to you, Stig, to take us through the financials. Stig?
Stig Christiansen: Okay. Thank you, Jesper, I'll do that. Of course, we are then on Slide #8. Starting with the income statement, Slide 8. As Jesper has already alluded to, and I won't repeat that, fleet utilization relatively low in first quarter 2021 at 25.7% compared to 32.7% in the same quarter last year, basically reflecting 2 of the vessels operating largely through the quarter in Brazil, the Notos and Eurus, and also commencement of contract for the Zephyrus and Caledonia in respectively late February and late March. That, of course, then gives the operating revenues of $16 million in the quarter compared to $25 million last year. So it's primarily the lower utilization. I think it's fair to say that it's also a consequence of somewhat lower average day rates than we had in the same quarter last year, reflecting of the current market conditions or recent market conditions. This gives a reported EBITDA of a negative in the quarter of minus USD 10 million. When it comes to depreciation, I think you're all familiar with that, coming down to a -- I was going to say low, but let's call it rather a normal level, reflecting the book values, which are now reflecting the reality in our industry given the impairments over the last few years. The impairments of $45 (sic) [ $41 ] million in the quarter is a consequence of the surprising and also disappointing Westcon judgment that Jesper alluded to, which had to be reflected in the quarterly results. And that gives an operating loss in the quarter of USD 59 million. Not much to say on the interest expenses. However, for sake of order, let me mention that under other financial items, you basically see the other consequence of the Westcon judgment, where about $14 million of $17 million is, in essence, interest costs and legal costs related to that case, which needed to be reflected in the quarter on the back of the recent disappointing judgment. Other than that, there are some costs related to the ongoing restructuring. I can share that with you now that I think, so far, after 15 months of working with our lenders, we have probably spent about USD 9 million, which is a very high number, still very small compared to most of the restructuring that is going on in the world. And our intention is to -- as I said before, to achieve this largely consensually and as cost-efficient as possible. And that gives, in sum, a net loss in the quarter of minus USD 90 million. If we then move to the next slide, please, Slide #9, balance sheet. And I think the 2 key points to mention on the balance sheet is, in essence, the obvious: a very significant negative book equity, reflecting the impairments over the last year or years which again reflects the market conditions. Of course, combined with the fact that we are now in this restructuring process with our lenders with the intention an imminent solution to fix the balance sheet, which we are about to. The other key point is, of course, to underscore the fact that the company is, has been and remains open for business. We continue to trade on an ordinary basis with support from our banks, and the company has sufficient liquidity, with a liquidity reserve of $142 million at the end of Q1 2021. So I guess with that, I will turn the word back to our CEO, Jesper Kragh Andresen. Jesper?
Stig Christiansen: Thank you, Stig. Turning to Page 11, regarding the Westcon judgment. As we have mentioned in the previous press release, we did not get the result in the Court of Appeal that we expected or hoped. We spent about 9 weeks in court in the first instance and more than 11 weeks in court in the second instance. And despite the thorough hearing of the case, we can regrettably note that the result in the first instance in our favor was fully reversed by the Court of Appeal. As mentioned, it was both disappointing and surprising initially, and that impression remains after we have started the judgment in more detail, and we are currently considering whether to appeal to the Supreme Court in Norway. The threshold for an appeal to the Supreme Court is quite high, but it is also an extraordinary judgment which we disagree with, and which we also believe suffers from significant shortcomings or defects, if you like. If we appeal, then the decision will be made and the appeal will be lodged towards the end of next week. And if we were to be successful in the Norwegian Supreme Court, then a possible likely outcome may be that the Supreme court refers all or parts of the judgment back to the Court of Appeal for retrial. Turning to Page 12. The contract backlog overview show that we will shortly have all our rigs in operation and on hire with the exception of the Safe Scandinavia. This is a sharp and welcome reversal of the last year in 2020, where our operations were suspended for most of the year due to COVID-19. Now we are back in operation and naturally with full focus on the health and safety of our crew and our guests on board our rigs. As you can imagine, we have elaborate COVID precautions. We apply a rigorous testing regime, both before people get on our rig and while they're onboard the rig. And crew and guests are kept in bubbles, et cetera. So far, we have managed the situation without disruption to operations, but obviously we are staying very vigilant. The contract backlog chart for 2022 looks a bit empty at first glance, there's a lot of white space left in the chart. But we do have reasonably firm prospects for all our rigs, excluding the Scandinavia, for work in 2022. And just like this year, it remains our ambition to get all our rigs working during 2022, possibly with the exception of the Scandinavia. The supply situation seems to be tightening, especially in the North Sea, in 2022. Finally, as we mentioned on the bottom of the page, we are working on a number of strategic initiatives in respect of ESG and fleet growth. It's probably more focused on the E in ESG, relating to emissions. In respect of fleet growth, that refers to the much-needed consolidation that we have consistently pointed to in our small industry, and which will come in focus as soon as we have completed the restructuring, not just for us, but probably for many others in the industry. Turning to Page 13. You can see that the contract backlog or the order backlog stands at $138 million at the expiry of the first quarter, then which is slightly higher than a year ago and higher than for most of 2020, which shows that although 2020 was a lost year operationally due to COVID-19, it was certainly not a lost year in other respects, as we have added to the backlog and progressed the restructuring to the point where we believe that the goal line is in sight. Turning to the final page, 14, summary. As we have already said a few times, we hope that we can revert with details about the restructuring in 2 to 4 weeks. And it's, in that respect, worth repeating the unfortunate logic of most financial restructurings in the second bullet on the page, as it normally implies minimal recovery for shareholders. We operate on a business-as-usual basis. And during the restructuring process, I'm pleased to note that we have been able to give customers, partners, suppliers the required comfort. And I'm not aware of any detrimental effects with customers or partners or suppliers which can be referred back to the fact that we are restructuring. It has been business as usual, and we have been performing well. We lost the Westcon case in the quarter and are considering an appeal. We have the sizable liquidity reserve of $141 million. And as mentioned, all but 1 of our vessels are in operation this year. And it is our ambition to achieve the same in 2022 with ongoing bids and negotiations in both Brazil and the North Sea and [ outward of ] that. Finally, we are looking forward to strengthen the focus on our strategic agenda as soon as the restructuring is complete. That wraps up the presentation we had planned. And Stig, I think we are ready to take and answer any questions.
Stig Christiansen: Yes. Thank you, Jesper. We are. So far, there has been no questions raised to myself. So I think you might slowly start to wrap up again, Jesper. And  I'll shout if any e-mails come through over the next 10 seconds. Otherwise, I think you can close.
Stig Christiansen: Okay. Thanks. No, thanks, I think we have covered what we planned. And hopefully, it was informative. Thank you very much for attending, and we look forward to returning with more information, hopefully shortly. Thank you.